Andrew Higginson: Good morning, everybody, and welcome to the JD Sports Half Year Results. I'm delighted to say that it's a set of results where we're on track for the year as we stand here today. And I just really wanted to make a couple of introductory remarks before I hand over to the team. It's been a tough couple of years really in lots of ways. There's been a lot of challenges we're facing too. The markets have not been great. Consumer markets have been uncertain. I think we all know about the political and economic background in our major markets. And of course, the cost base here in the U.K., in particular, with the national insurance rises and various other things have been very challenging. We've also internally, of course, had governance challenges that we've had to sort of face into as well, which have required investment and turnaround. And I really just wanted to start by commending the team really. The strategy is very much on track at the moment. I think they've shown great resilience in the face of a lot of those challenges. And of course, we're making great progress. The governance, in particular, I think commend Dominic and his team for the work they've done around the financial controls in the business and all led by Régis, of course. And of course, the integration of things like the supply chain, the progress we've made on governance, the good work that we've done around the integration of the acquisitions we've made and, of course, the great work we've done on our brands. And if you need an example of that, go and see the Trafford Centre and see how that's moved JD on here and it's probably its most mature market. I think all of that is very commendable. So you're seeing here today some of the results of that hard work and with more to come. But I just wanted to say thank you to all of the team in JD for the hard work that's gone on. It's never easy when markets are difficult, but I think they're doing great stuff. So thank you very much, and I'll hand over now to Régis.
Regis Schultz: Thank you, Andy. Thank you for your kind words. So good morning, everyone, and thank you very much for joining us. I'm Régis Schultz, CEO of JD Group, and we are here joined by Dominic Platt, our CFO; and Mike Armstrong, our JD Global Managing Director. I will start with our key message and highlights from the first half. I will then hand over to Dominic to go through the financials. And finally, I will take you through the key business update. As a reminder, at our April strategy update, we set out some clear priority for the short and medium term. First, to deliver the vision to be the leading sport fashion powerhouse. Second, to build the infrastructure and the governance you will expect from a company of our size and a world leader. And third, to focus on cash generation and shareholder return. So I'm pleased to say that our first half results reflect our priority and demonstrate our operating and financial discipline against what was a tough trading environment. We are building a track record of focus and consistent execution against our strategic objective. As a result, we are gaining market share in North America, in Europe and building on the very significant opportunity we see in both regions to develop JD brand and leverage our complementary concept businesses. To finish our key message, we said we will provide you an update on the U.S. tariff impact. Dominic will go into more details on this, but you will be pleased to know that we see limited impact in the current reporting year. Let me now hand over to Dominic to run through the first half financial results with you. Thank you.
Dominic Platt: Good morning, everybody, and thank you, Régis and Andy. So let's start with our summary financials for the group here on Slide 6. At constant FX rates, total sales were 20% higher year-on-year, reflecting a full half of sales from Hibbett and Courir, who were acquired in July and November, respectively, last year. Stripping these businesses out, organic sales growth was 2.7%, comprising 2.5% lower like-for-like sales and 5.2% growth from net new space. Against a tough backdrop in all our markets, we maintained our trading disciplines. Gross margin was 48%, 60 basis points behind the prior year. Excluding Hibbett and Courir, which are slightly lower-margin businesses, gross margin was 40 basis points lower year-on-year. This was driven by controlled price investments, particularly in our online offer to increase customer engagement and conversion. Turning to operating profit. As a reminder, earlier this year, we updated our definition of operating profit to include IFRS 16 lease interest, as we believe including all property-related costs gives a truer picture of the operating margin of each part of the business. On this basis, operating profit of GBP 369 million was 6.3% lower at constant FX rates. Excluding Hibbett and Courir, operating costs were 4.7% higher at constant FX rates, and this was driven entirely by new stores. Through structural cost reductions and flexing the staffing levels and discretionary spend, we managed to fully offset the impact of higher labor rates and technology costs as well as noncash mark-to-market charge of GBP 14 million in H1. More on that later. Overall, the group's operating margin was 6.2%, 170 basis points lower versus the prior year at constant FX rates. Profit before tax and adjusting items was GBP 351 million, 11.8% lower at constant FX rates and in line with our profit phasing guidance. Included in this is a GBP 22 million increase in net finance expense, excluding lease interest, which was driven by lower cash balances and debt financing related to acquisitions. Our adjusted earnings per share were 8.5% lower year-on-year at constant FX rates. For completeness, the statutory PBT was GBP 138 million, 9.5% higher year-on-year. This reflects lower adjusting items or exceptional items as we all used to know them. These are essentially limited to noncash revaluation of our Genesis put option together with the amortization of acquired intangibles. The Board has declared an interim dividend of 0.33p per share, consistent with the prior year. In line with our dividend policy, this represents 1/3 of the final dividend for FY '25. And last but certainly not least, we delivered a 5% increase in operating cash flow to GBP 546 million, demonstrating yet again the highly cash-generative nature of our business. Turning now to our revenue bridge from last half year to this. The left-hand side rebases H1 '25 for FX headwinds of 2 percentage points as well as some small disposals from last year. As I mentioned earlier, like-for-like sales were 2.5% lower and new stores contributed 5.2 percentage points to sales. This includes annualizations from stores opened last year and also the fact that we opened 4 flagship stores in the period, including the Trafford Centre in Manchester, which is strongly outperforming against its plan. So overall, organic sales growth was 2.7% at constant FX rates. We believe this is faster than the growth of our addressable markets, driven by market share gains in North America and Europe. Finally, Hibbett and Courir added GBP 869 million of sales for overall sales growth of 20%. As you can see from this slide, the JD Group is a very well-balanced and diversified global business. 71% of our sales come from North America and Europe, our key growth markets. Following the Hibbett acquisition, North America is our largest market, representing 39% of group sales. Our channel and category mix varies by region, which provides us with opportunities for growth. For example, our largest region for online sales penetration is the U.K. at around 25%, with other regions overall in the mid-teens. We're building a fully flexible omnichannel proposition in all our regions, offering customers a seamless service for purchasing, delivery and return, whether they choose to use our stores or online channels or as we are increasingly seeing a combination of the 2. Within our omnichannel proposition, organic store sales grew by 3.6%, reflecting the continued resilience of our full-price business model and our store opening program. Online sales were 1.6% lower with good growth in North America and Europe, offset by a weaker online performance in the U.K. While U.K. store sales were positive year-on-year, the U.K. online market as a whole was slightly more promotional during the period, especially in the second quarter, driven by short-term discounting to clear inventory. To maintain our competitiveness, we made some controlled investments in our prices and have seen an improvement in customer engagement online in recent weeks. Turning to category. Our agile and multi-brand model really comes into play across our combined footwear and apparel proposition. When we exclude Hibbett and Courir, which are more footwear-centric fascias, apparel participation increased to 31%, with footwear decreasing to 58% of sales. In footwear, we continue to see a fundamental shift in the global footwear product cycle, given the transition between newer franchises and some significant end-of-cycle product lines. Notwithstanding this, we saw strong growth across brands more in the middle of the cycle, which reflects the strength of our multi-brand model. The early signals of new product franchises in terms of both launches and pipeline are encouraging, albeit they are a small part of sales today. Overall, organic footwear sales were 1% lower year-on-year. The apparel product cycle is very different compared to footwear. Our apparel proposition is in excellent shape, supported by innovation and our own brands, and we believe there is significant scope to leverage this for growth, particularly in North America, where our apparel mix is low compared to other regions. Despite tough comparatives from replica shirt sales in the U.K. and Europe, due to the Euro 24 football tournament last year, organic apparel sales were 6% higher year-on-year. Our other category, which includes outdoor living equipment and gym memberships, maintained its share at 4% of sales mix. Turning now to our geographic regions. As a reminder, we have 2 different lenses on how we look at the JD Group. First, as you know, segmentation by fascia JD, our Complementary Concepts, our Sporting Goods and Outdoor fascias. This is our primary lens because it aligns to our strategy. And most importantly, it's how our customers and brand partners engage with the JD Group. The geographic split that you see on this slide helps to focus internally on creating the most efficient operating model to support our range of fascias in each region and, in the process, maximizing the returns we make on our investments. So starting with sales by region. As reported in our trading update in August, like-for-like sales in H1 were resilient in Europe, supported by our JD and Sporting Goods fascias. We are encouraged by improved like-for-like trends quarter-on-quarter in both North America and Asia Pacific. In the U.K., we see organic sales as a better KPI than LFL, given the ongoing evolution of our store footprint with bigger and better stores. Régis will cover this in his slides later. U.K. organic sales were 1.7% lower in H1, affected by tough prior year comparatives due to the Euro 24 football tournament. Turning to margins. The group operating margin of 6.2% reflects the H2 weighted nature of our annual sales. By region, the North American margin was 340 basis points lower year-on-year. This was influenced by 2 significant but short-term factors. First, the ongoing wind down of the Finish Line fascia. During the first half, Finish Line invested in price within its online offering to maintain competitiveness. It also closed 15 stores and transferred a further 22 to JD in the period. Those conversions continue to see significant uplifts in performance and profitability as the JD concept continues to resonate with North American customers. The remaining 220 Finish Line stores will be wound down over time, but will weigh on the North American margin in the short term. And second, the impact of Hibbett year-on-year. Last year, having completed the Hibbett acquisition on the 25th of July, the business recorded a spectacular first week due to back-to-school demand, making a significant proportion of its annual profit under our ownership in that 7-day window. Aside from these factors, as I mentioned earlier, Hibbett is a slightly lower margin business than the other North American fascias. The integration of the business is progressing well, and it's a key component in our multiyear program to create an integrated platform for the nationwide growth of all our fascias in North America with an efficient supply chain and back office. We're on track to deliver annualized cost synergies of $25 million with half to 2/3 of this, so about GBP 10 million to GBP 12 million expected in H2. In Europe, we saw a decline in the operating margin of 40 basis points. The main factor to call out here were our controlled price investments, particularly in the online offer, which saw good results in terms of customer traffic and conversion. As our supply chain investments in Europe come to an end in FY '27, we will see the operating margin in this region start to step forward towards the higher single-digit levels we have elsewhere. To remind you of our broader medium-term guidance for the group, we expect to see over GBP 20 million of cost benefits related to technology and supply chain double running costs across FY '27 and FY '28. And finally, the U.K. margin was lower by 130 basis points. This reflects the tough trading conditions, as highlighted, as well as higher technology, labor and costs related to new stores. We have and continue to make strong progress on our plans to enhance sales productivity and cost efficiency in the U.K., and Régis will touch on that more later. So on to the group profit bridge. Starting from the left-hand side, lower like-for-like sales at a constant gross margin contributed GBP 33 million to the decline, and that's net of GBP 27 million of attributable variable OpEx savings. We then have a further GBP 25 million from the like-for-like gross margin rate reduction. The next bar shows a GBP 10 million net OpEx increase, which includes the higher salary and national insurance rates as well as technology investments that we flagged back in May. It's a net number because we've also included structural OpEx reductions in the year. Alongside the higher mark-to-market charge of GBP 13 million, we offset these increases in full with our variable cost reductions, as you can see with the arrows on this slide. For the year as a whole, as we stated in our FY '25 results in May, we expect incremental OpEx of over GBP 50 million, including higher labor and national insurance costs and tech spend. And we're on track with our guidance of partly offsetting this through GBP 30 million of structural cost reductions and U.S. integration synergies of around GBP 10 million to GBP 12 million. I would also highlight that we expect part of the mark-to-market charge to unwind in the second half. The contribution from new stores and annualizations of GBP 24 million in H1, Hibbett and Courir added GBP 32 million. And finally, we saw a GBP 22 million increase in net finance expense, excluding lease interest. As I mentioned earlier, this was largely due to the interest on debt component of our acquisition financing, which anniversaries in the second half. On this slide, we set out our summary cash flows for the period. Depreciation and amortization was GBP 467 million, up GBP 120 million from the prior year. This increase was driven primarily by Hibbett and Courir, together with the impact of new stores and our supply chain investments. Lease repayments were GBP 230 million. As a result, the group's operating cash flow was GBP 546 million, up 5% versus the prior year. The change in working capital resulted in a net outflow of GBP 312 million. This was due to an increase in inventory of GBP 314 million, reflecting the rebuild of stock following the seasonally low year-end balance sheet position. Gross capital expenditure in the period was GBP 216 million, down GBP 29 million on the prior year, reflecting the tapering off of our supply chain investment phase. Tax, interest and other cash payments were GBP 86 million, leading to an overall free cash flow of minus GBP 68 million, and that's an improvement of GBP 35 million on last year. To reiterate, given the seasonality of our business, we expect to generate significant free cash flow in the second half. Dividend payments related to last year's final dividend were GBP 34 million, and our first share buyback program of GBP 100 million completed in July. Overall, we saw a reduction in net cash of GBP 177 million, leading to net debt before lease liabilities on the balance sheet of GBP 125 million. Turning to Slide 12 and to reiterate the continued strength of our balance sheet and cash generation. We continue to manage our inventory effectively and in a disciplined manner. Net inventory increased by 14% year-on-year. This mainly reflects the acquisition of Courir, but also proactive stock management ahead of our distribution center transitions and City Gear store conversions. Régis will provide more detail on this later. Overall, we're well positioned on inventory heading into our peak trading period. Turning now to net debt. With cash of GBP 502 million and borrowings of GBP 627 million, our net debt at period end was GBP 125 million before lease liabilities. We expect to move to a net cash position by the end of the financial year. Factoring in IFRS 16 lease liabilities, our net debt was just over GBP 3 billion, representing net leverage of 1.7x. And taking into account the Genesis buyout option in FY '30 and FY '31, pro forma net leverage remains around investment-grade levels. In July this year, we completed a comprehensive debt refinancing. So including our new undrawn RCFs, our total liquidity at period end was just under GBP 1.4 billion. Finally, on shareholder returns. In April, we updated on our strategy and our capital allocation priorities. And with this, a commitment to enhance shareholder returns. In accordance with these priorities and reflecting our expectation of strong free cash flow generation, we announced a second GBP 100 million share buyback program in August. We expect the program to commence in the coming days. And at current share price levels, we believe buybacks represent a compelling return on equity for shareholders. And finally, for completeness, the Board has also declared an interim dividend of 0.33p per share. So now let me take a moment to address the impact of U.S. tariffs on our business, which we said we'd provide an update on today. The overall message here is that we see limited financial impact in FY '26, though unsurprisingly, uncertainty remains going forward. First, a reminder of our direct exposure. This is the impact on our sourcing of own brands and licensed products as well as store fixtures and fittings. Our own brand accounts for less than 10% of our U.S. sales, and we've already taken effective steps to diversify the sourcing base. As a result, the direct impact to JD of higher U.S. tariffs is not material, estimated at less than $10 million on an annualized basis. Turning now to our indirect exposure. We spent several months closely monitoring the actions our brand partners are taking to mitigate tariff impacts and any shifts in U.S. consumer behavior. From a brand partner perspective, with a significant proportion of their sourcing concentrated in Southeast Asia, we're seeing them taking proactive steps across the supply chain to mitigate cost pressures and maintain competitive pricing. And where retail price increases have occurred, they've generally been targeted with a broadly neutral reaction from customers so far. So based on what we've seen to date, we therefore anticipate a limited financial impact from U.S. tariffs in the current financial year. This is supported in part by inventory purchased prior to the implementation of tariffs. Looking beyond FY '26, uncertainty remains over broader tariff as well as over U.S. consumer sentiment, as you might expect. We will, of course, provide updates as and when the landscape evolves further. So finally, on our outlook and guidance, we expect our full year profit before tax and adjusted items to be in line with current market expectations. Our H1 results demonstrate our operating and financial discipline against a tough market backdrop. You can expect more of the same in H2 with continued effective management of our costs and cash. We remain cautious on the trading environment, reflecting continued pressures on consumer finances, elevated unemployment risk and the ongoing footwear product cycle transition. Now as a reminder, as we settle into our new reporting pattern, there's no update on current trading today, and we'll report our Q3 numbers on the 20th of November. Finally, as I highlighted on the previous slide, we anticipate the financial impact from U.S. tariffs to be limited in this financial year. So with my review concluded, let me hand back to Régis, who will provide the business update.
Regis Schultz: Thank you, Dominic. Let's move now to the business update. First, a quick reminder of our investment case. So JD Group operates on a large and global scale with footprint in over 50 countries. Our market, sports fashion, will continue to grow over time, benefiting from ongoing casualization and active lifestyle trend. JD Group is a leading player in all key geographies we operate and is targeting further market share gain, particularly in North America and Europe, where we see significant organic growth opportunity. JD Group has a strong and agile multi-brand model, allowing us to propose the best products to our customer and to navigate trends and brand it seamlessly. JD Group is an omnichannel retailer, leveraging the best of the online and off-line world for our customer. JD Group is building the infrastructure and the governance needed for a group of our size and scale. In the last 3 years, we have invested significantly in our supply chain, in our technology as well as strengthening our system control and talent. We will, therefore, unlock operational efficiency across the group. This puts us in a position to deliver profit growth ahead of sales over the medium term. JD Group is a highly cash-generative business with a powerful balance sheet. With disciplined capital allocation, we have headroom to invest for growth while delivering enhanced return to our shareholders that translates to a GBP 200 million share buyback program for this year. Everything we do, everything JD does, starts with the consumer, the JD customer, the young customer, the 16 to 24 years old customer. JD's greatest strength is our ability to see the world through the mindset of our customers. Our close relationship with the young customer gives us a strong partnership with the brands we sell. This unique brand partnership provides us the ability to offer the latest and the greatest product to our customer. Our concept, the JD Theater, is modern, vibrant, multi-brand, premium, mixing sport fashion and music. We leverage the magic within our store to bring our proposition to life in an environment that elevate our brand partner stories and delight our customer. Before you ask me the question, how is our customer feeling right now? I would say that the current level of uncertainty is impacting customer confidence across our different markets. But more importantly for us, as we have said previously, unemployment is a key factor for our young customer. And we are starting to see early negative signs on it, especially Europe, U.K. Something for us to monitor in the coming months. Meanwhile, when we are delivering new exciting product, we see our customer coming into our store. Talking about product, let's turn to a very familiar slide, which demonstrates the power of our multi-brand model and our agility to navigate trends and brand it. Looking at the mix of our sales in footwear on the left and apparel on the right. First, you will see that we are not building our range per brand. We are doing it by style, by category to focus on customer need. If you take footwear, we have 4 key categories. It's a simplified version of what we do internally. You have running, performance and retro basketball, skate, we have included Terrace in this, classic or tennis and other. And you can see the movement between the category. For example, retro basketball went from 20% of our sales in financial year '20 to almost 40% of our sales 2 years ago, before slipping back in the last 18 months. On the other hand, running has moved back above the 50% mark where it was in financial year '20, especially with the development of performance running with On, Hoka, Salomon, adidas EVO, and the new Nike running product, Vomero 18 and Pegasus. Thanks to our agility, to our flexible merchandising, to our buying excellence, we are navigating, anticipating the product cycle, the change of trend and the evolution of branding it. And this is critical in the current challenging product cycle. As we always say, we will win with the winner. Turning to apparel. You can see how we have pivoted our offer towards performance apparel and street fashion. Performance apparel, mostly exclusive product designed by us, designed for us with the brand, show our agility to capture and create growth by extending our reach and leveraging our brand relationship with a big player and with emerging brands. This has been done very quickly as we have more than doubled our sales in performance every year in the last 3 years and grew over 5x over the last 5 years. Our growth in street fashion is another example of our agility to extend to new category by developing our own brands to respond to customer trends. As you have seen from Dominic in our H1 results, our focus on apparel gives us a unique competitive advantage, and our investment in space, resources and talent is clearly paying off. Our apparel strategy is a key differentiator, a key competitive advantage in every market we operate, and it brings to life our unique lifestyle proposition. In the first half of our financial year, we have made strong progress against our key mid- and long-term priorities. In North America, our focus is to develop the JD brand, to leverage our complementary fascia, and to deliver the back-office synergy following the acquisition of Hibbett. In Europe, we are leveraging our multi-fascia strategy to gain profitable market share with JD to address a young customer, Courir to reach more female, older customer, and Sprinter and Cosmos to a more family sport customer. We focus on key country, France, Iberia, Italy, Benelux, Greece and Poland, where we have a leading market position to drive efficiency and profitability. We are building a more efficient supply chain with the automation of our JD European DC in Ireland. In the U.K., our focus is to have fewer, bigger and better stores, to be more productive and to optimize our central overheads. We have made a lot of progress in the first half of the year, which I will now take you through in more details. In U.S., we are developing the JD brand, gaining again market share in H1 and increasing the awareness of our brand. Our #1 brand awareness action is to open stores. In H1, we have opened a net of 52 stores in the U.S. This includes 22 conversions from Finish Line to JD Fashion, delivering on average more than 20% uplift in sales. Second priority is to target key markets in the U.S. with community marketing activation, local advertising like billboards, buses, local sponsorship and ambassador. Third priority is about national influencer targeting digital media, performance, search and shopping. Mike will provide and can provide more color on the program during the Q&A session. As a result, as you can see on the slide, we are delivering a significant increase in national aid brand awareness from 34% 2 years ago to 59%. And this is even more marked in our key battleground markets such as New York. More impressively and impactful, 26% of the consumer are purchasing JD, almost triple versus 3 years ago. North America is the largest market in the world, and it is now our largest market, accounting for almost 40% of group sales in H1. Our different fascias provide us with a full reach of the American customer from coast to coast with DTLR on the East Coast to Shoe Palace on the West Coast, from top mall key trading part with JD to local community with Hibbett from all ethnicity and all gender. The acquisition of Hibbett has been transformative as it gives us an extensive geographic and democratic reach in U.S., creating scale for our strategic partner, the large and emerging sportswear brand. We see great opportunity in North America for the development of both the JD brand and our complementary fascias. As part of Hibbett acquisition, we acquired City Gear stores, a chain of 200 city specialist stores situated in the Southeast with a similar customer base than DTLR. As explained in the details in April, we will convert all the City Gear stores, the 198 stores, to DTLR, giving us an opportunity to improve our sales and profit. City Gear has a return of USD 250 per square foot, whilst DTLR average more than double at around USD 500. So a lot of value to harvest for us. We have already transferred the City Gear operation to DTLR back in June, and the system cut over on time, on budget and with no issue, another demonstration of our operational excellence. At the same time, we are starting the conversion program with an initial 6-store conversion trial. As of last week, that shows a strong uplift in sales around the plus 60%. Second priority is synergies and leveraging our scale in the U.S. As mentioned by Dominic, we are on track in terms of action and the planned synergies. On back office and system change, our U.S. businesses are moving quickly with the ongoing implementation of Workday for finance and HR, leveraging our Hibbett expertise. With our new scales in North America, we are starting to see significant benefit in areas such as transport, logistics, insurance, and we are bringing learning from JD to develop Hibbett range and merchandising. Hibbett delivered a positive Q2 like-for-like, the first for some time. Another source of synergy, the supply chain of the distribution center. We are converting our U.S. DC to become multi-fascia to deliver significant cost savings in the future as well as a quicker replenishment for our store by covering the country from East to West. Our first multi-fascia DC will be live beginning of next financial year with a new West Coast DC in Morgan Hill, near San Jose, and to be followed quickly by Alabaster, the historical DC of Hibbett in Alabama. Turning to the development in Europe. We are leveraging our multi-fascia strategy to gain profitable market share. We have refined our plan and focus on key countries: France, Iberia, Italy, Benelux, Greece, Poland, where we have a leading market position to drive scale, efficiency and profitability. As mentioned in April, Germany, the Nordics have been more challenging due to high cost to operate and less appetite from the consumer for sports fashion. So we have taken this learning and are directing future investment on the market where we see more room for profitable growth. In H1, we have focused JD store opening program in Spain, Italy, France and Portugal with a net increase of 35 stores. Overall, I'm pleased to report that we gained market share in the first 6 months. The integration of Courir is proceeding according to plan. Courir operates 307 stores across 6 European countries, including its own market in France, where a majority of the stores are located, as well as 33 franchise stores across 9 further countries. We see the potential to develop Courir in Europe by leveraging our existing infrastructure. We have successfully entered Italy in the first half with 3 stores opening, and we are preparing to reenter Portugal. We also have our European sporting goods fascia in Iberia, Greece and Cyprus. Those business provide us with scale, infrastructure and a different customer. In H1, they saw sales growth of plus 1.2% and 6 net new store openings, taking the total store number to almost 400. And finally, an update on our European supply chain project, a long project around Heerlen DC in the Netherlands continue to ramp up, and it will launch automation in the coming days. In fact, on Monday, we will start the automation. Initially, this will be for store replenishment with online to follow in the first half of next year. To give you an idea of the scale of the operation, the target is a throughput of 100 million units a year. Automation will unlock significant efficiency within Europe, including faster fulfillment, better stock availability and a reduction in the fulfillment cost per unit. It will eliminate our current dual running cost in Europe and the unnecessary cost and duty of shipping to Europe from the U.K. To minimize the risk of disruption during our upcoming peak trading period, we will maintain our dual running with our site in Belgium until beginning of next year. And then as Dominic said earlier, we are on track to deliver over GBP 20 million of cost benefits relating to the supply chain double running costs across financial year '27 and '28. Before we turn to look at the U.K., I want to give you a behind the scene tour of the build of what is our biggest JD store in the world in Manchester's iconic Trafford Centre. We believe it is also on track to become one of the world's largest sports fashion store by sales with a triple figure turnover in U.S. dollar. This destination store opened in June and set a new benchmark in innovation and merchandising for JD worldwide. It will bring to life the JD Theater, as mentioned earlier, and this small video gives you just a taste. Enjoy it. [Presentation]
Regis Schultz: It is a 4,000 square meter store. It means that we could play with a lot of new brands, new products. Trafford Centre has 19 customer engagement areas. This includes customization, sneaker refurbishment, social media recording studio, even a barber, not for me. And I'm looking forward to host you and to see you in JD Theater of Dream in Manchester. As you know, U.K. is our most established market. As a result, our primary focus is on enhanced productivity, larger through fewer, bigger, better store, optimizing the store footprint in the best location and reinvesting in the best location and in our current estate to make sure that our store continues to be the best in town. In line with our strategy in H1, we saw a net reduction in U.K. store numbers of 13, but an overall increase in selling space. Productivity is also about driving operational efficiency and cost savings. So to highlight just a few for you. With our DC, we are now seeing the benefit of closing Derby last year and reviewing our transport costs, bringing in further savings and driving more efficiency in Kingsway. Then we have some of our tech infrastructure key projects starting to land. Our new HR system, Dayforce, has launched in the U.K., which will start to bring scheduling benefit in store as well as overhead saving in our head office. We are also using technology to support both colleagues and customers. We are, as we speak, implementing RFID in all our stores to facilitate click and collect, ship from store transaction, and making replenishment much more efficient for our people, saving critical minutes in store tax. This is alongside the self-service checkout and mobile point-of-sales terminals that we are starting to roll out. And I will add one that Dominic is particularly proud of, reducing our audit fees, having enhanced our process and system in finance. As a final update, we see loyalty as a key driver of our sales. Our now established global loyalty program, JD STATUS is progressing well. And in the U.K. alone, it's capturing more than 25% of our turnover. STATUS serves as a foundation for developing a more targeted and personalized relationship with our customers. In H1, we ran test of personalized offer during campaign period, which resulted in significant incremental sales. This gives us a strong indication regarding the scope and the potential for future development. As a conclusion, in a tough trading environment, we are staying focused on our strategic priorities, our operating and financial discipline. This is demonstrated by our market share gain in H1 and our operating cash flow up. We are cautious about the trading environment in the second half of the year. We expect full year profit before tax and adjusted items to be in line with current market expectation. We are focused on delivering a strong free cash flow, and we have confidence in the medium-term growth prospect of our industry. We are reaffirming our commitment to enhance shareholder return, and we will soon start our second GBP 100 million share buyback program. Before I hand over for our Q&A session, I'd like to thank all my colleagues for their hard work and dedication. Their commitment and their agility are moving us forever forward. Thank you. Mike, over to you.
Unknown Executive: All right. Thank you very much, Régis. We're going to start the Q&A now. I'll wait for my colleagues with the microphones. So Lorraine, could you start with Grace, please?
Grace Smalley: It's Grace Smalley from Morgan Stanley. My first question would just be on apparel. You mentioned there the improved product assortment after a period of weakness. I'd just be interested to hear more details on what exactly has changed in the apparel assortment? What's making you more optimistic on that category? And Régis, I think in the past, you've spoken about a more competitive environment in apparel, just how you see that competitive landscape today? And then my second question would be on the footwear side. I love the new slide with the different categories. If you could just talk about, based on your consumer insights, what you're seeing from the brand's product pipeline into next year? How you see those trends evolving? Do you expect running to continue to take market share? What you're seeing in basketball, terrace and skate as well would be very interesting.
Andrew Higginson: I think the best to answer is Michael Armstrong.
Michael Armstrong: Yes. I think, apparel -- I mean, if you remember right, 12 months ago, we were sitting telling you the apparel market was really challenging. And I think what we find is because there was a bit of a shift in the market a couple of years ago and particularly with the bigger brands, we work on generally about an 18-month time line. So there's a lag between when the market shifts for us to be able to capitalize on that shift to get at the market, the shift in the market with the bigger brands. We've just seen the brands catch up with the consumer. That's really all it is. We had a really strong -- we still have a really strong business in the performance categories, as you can see on the slides. And we've had some new entrants come in, in that space, which have worked extremely well for us like Trailberg, Able, Montirex still continues to be amazing. We've got a really good business with Under Armour. And on the fashion, more lifestyle side of things, that's where we're seeing the real upside. Adidas is looking really good on apparel. We introduced a new own brand called Unlike Humans. So there's just a lot going on. It's just quite an exciting place right now. And on footwear, as Régis mentioned, we're still just managing out of this period where we had 3 really big items dominating the footwear business to a marketplace where consumers want to try and test new products. There's a lot of new -- not new brands, but brands that are reestablishing themselves in the marketplace. Again, because of the supply chain time lines, we're not necessarily fully able to get at everything that we would want to get at today, because there's a 12-, 18-month lag on everything. Over time, we'll start to catch up on that stuff. But what we're seeing right now is still the market is very fluid. You can see the backdrop is generally pretty challenging, the appetite isn't necessarily the same as it was during the COVID years. So getting those newer models and brands up to speed as quickly as the big franchises that they claim is still a challenge for us. I think the other thing worth mentioning is, obviously, we went through a bit of a honeymoon period with women's footwear. She was consuming a lot of product, and that softened. So that has had a bit of an impact on us as well.
Unknown Executive: Okay. Let's move to Jonathan at Peel Hunt.
Jonathan Pritchard: Jonathan Pritchard at Peel Hunt. Just on the brand awareness point, obviously, you've outlined to a degree what you're doing. But what really has changed, because those numbers are pretty impressive that you've gone from, I think, 34% to 59%. What has been the golden bullet as it were for that?
Michael Armstrong: Again, I think we just mentioned store openings. We've got a good footprint in all the best malls, now in the majority of the best malls. We've opened a few new flagship stores, Las Vegas as an example. But I think a lot of the great work the team have been doing over the last 2 years has started -- we started to benefit from that, particularly in the communities. The brand awareness, aided brand awareness in the key markets for us, New York, Texas, Miami is significantly higher than that. And a lot of that is around the work we do in the communities, it's local sponsorships, activations, partnerships. We're just starting to benefit from that now.
Jonathan Pritchard: Again, just to follow on from Grace's question, and it does follow on a little bit from what you've just said. But apparel, the mindset of the U.S. consumer for you and apparel, obviously, it's pretty much half and half of sales in the U.K., getting there in Europe, but quite a bit behind that in the States. Do people still -- have people started to genuinely think of JD as an apparel retailer? Or is it still a work in progress?
Michael Armstrong: The category in the U.S. is still very much dominated by footwear, but we are building momentum. The apparel business has been the growth driver for us this year in the U.S. with the backdrop of the challenges that we have in footwear being the same in Europe as they are in the U.S. So we think we are starting to make really good progress.
Regis Schultz: I think in U.S., it's linked to the market leader, which is only footwear. So I think that the more people know JD, the more they understand the fact that we are not a footwear and we are full lifestyle. So the awareness is helping the apparel business, too. So the two work together.
Unknown Executive: We go to Richard Chamberlain from RBC.
Richard Chamberlain: Richard Chamberlain, RBC. Three for me, please. I wondered if you can say how Europe online performed in the period. I appreciate you've obviously got the automation benefit still to come through. And then again, on Europe, Régis, what are the plans for the Courir store estate going forward? How do you see that shaping? And then third, I was intrigued by your comment in the U.S. about sort of neutral reaction from consumers to price increases or tariff-induced price increases there. Do you think we're going through a sort of temporary window where consumers just haven't reacted yet, so those price increases, or is there something else behind that, like an improving product pipeline or something that's actually still stimulating demand and having to offset those price increases?
Regis Schultz: So European online is doing well, I think, but we are starting from a low base. So I think that we are -- we have implemented in the last 18 months much more ship from store and that's created a big difference, because in the past we were shipping a lot of things from U.K. So we were not competitive in terms of time to get to the consumer. So we've seen a growth in terms of our online business in Europe thanks to a better service. And the thing that is coming with Heerlen now coming to first half will become to fulfill online order. We'll continue to do that. So we are just playing catch-up. But we're starting from a low base, but growing. In terms of store estate for Courir, I think what we see is that Courir will continue to develop out of France. So France, we maxed out in terms of number of stores. So we covered all, except the one that we had to divest because of the antitrust. So now we are re-coming to the same part, which it's stupid things around that, but that's life, that's the way it works. And we will expand in Italy and Portugal. So Portugal, it's to be back in Portugal; and Italy, it's a growth country for us. For JD, it's a key country. And I think that we see the benefit of expanding our offer a little bit to offer the same as we offer in France, in Spain, in Portugal, with Courir and JD. So that's the plan. In terms of the price impact, so as you know, what has happened in the U.S., it's a targeted price increase. When the product is good, price is not the issue. So I think what is still to be seen is what will impact when, because at the end, everything will translate into price. For the moment, it has been targeted on products that everyone feels that it will support a price increase. What will happen when a lot of other price will start to come to the system? That's another question, because for the moment -- and it's more not an industry question, it's more an economic question. I think that a lot of U.S. companies have really swallowed the tariff at one point of time, this will come to the consumer, what will impact at that time. But what we know, and that's the last 3 years' experience, that the U.S. consumer is the most resilient in the world. They just keep buying. So hopefully, it will continue.
Unknown Executive: Let's go to Ashton Olds.
Ashton Olds: A couple of questions from me. I guess the first one, just on the European margin. I think you mentioned that you get around a 20 million benefit from Heerlen. I guess what's the road map towards high single-digit margins beyond that? Is it cost out? Or is it sales led? The second question I have is just on sort of the online approach. You mentioned that gross margin at the group level was down 40 basis points from investment in price. Online sales were down slightly. I appreciate the market is not really helping. But just could you elaborate on your approach to online and whether there's more that you can do there? And then I think Dominic, you mentioned with regards to tariffs that you helped by purchasing ahead of tariffs. I'm not sure if I got that right. But I suppose as we look into FY '27, when you are purchasing at more normal rates, what should we think of the moving parts there? Is it gross margin down? Or is it more pricing to come?
Regis Schultz: So I think Dominic will take the first and the third, and I will take the online at the end.
Dominic Platt: Okay. So I mean in terms of European margin, it's a multifaceted story. We obviously saw the half 1 margin there. Overall, it's around 4%, 5% operating margin. There are a number of things we're doing, which give us confidence. We can see that improving over time. I think the first is sales led. As we grow scale in the market, we're taking market share, we'll start to see more sales on a fixed cost base, so that flows through in part. Second is efficiency, and that comes in things like supply chain. So at the moment, we are bearing significant costs by having 3 warehouses in Europe for JD, plus shipping stuff from the U.K. as we bring Heerlen online over the next -- before peak for stores next year for online delivery. We start then to step away from the double running costs and distribution in the U.K. will always remain a little bit, but in the grand scheme of things, not very much. That will play through to a better cost base and a more efficient cost base, but also better service to customers. As Régis said, at the moment, in some cases, if you buy something in Lisbon, you may have to wait 6 days for it to get to you from Rochdale, which isn't a great service. As we do more of that through Heerlen, that will improve the customer piece. And then the final piece is picking up on what Régis said around being more targeted in the markets where we invest in. As we learn more about where our concept resonates better with customers, we can tailor our investment to make sure we're getting the best returns on our investment and taking action to improve performance where it's slightly weaker. So a combination of those things over a period of time should see us having the European margin moving closer to that sort of higher single digit that we see in some of our other markets. Should I do tariffs as well?
Regis Schultz: Yes.
Dominic Platt: So just on the tariff point, there's always a lead time when you buy goods. So when you're buying for Q3, a lot of that was bought well before even the tariffs were announced. So that means we do get the benefit of that. And I think it's the same in many industries, you get the benefit of that in this financial year for us. Looking through to FY '27, I think it's too early to tell. And I think as we go through and look at what our buys are going to be, look at what our terms and conditions with our brand partners are going to be, we'll have a better feel. So we'll provide an update on that in the new year.
Regis Schultz: Concerning online, I think that it's mainly -- so as I said before, I think online in U.S. and Europe is doing well. I think in U.K., it has been more challenging. And I think that especially in terms of traffic and conversion, and that's where we have been investing more in price in order to make sure that we are competitive in a very promotional market. So that's the thing. And as it is weighted -- the U.K. weight is much higher, that has an impact on the online margin.
Unknown Executive: Okay. Let's move to the side, please. Dom, let's go to Will in the middle, and then Kate Calvert in front.
William Woods: William Woods from Bernstein. Two questions. The first one is just on the ongoing shift in the footwear product cycle. You mentioned women's footwear softening. Do you think there's anything more fundamental going on in that cycle? Or do you think it's just the classic brand and style cycle happening? And I suppose when you look at the apparel business, do you think that cycle still applies there. So we'll go through the same with sports fashion and performance, that you've grown quite well, in the next couple of years? And then the second one is, obviously, you've done a lot of work on U.K. productivity through few bigger stores, customization and loyalty, et cetera. Are you applying any of those learnings to the U.S. and Europe? And I suppose I'm particularly thinking about the new stores that you're opening. Are you changing what you're doing because of what you've learned from the U.K. at this stage?
Regis Schultz: Mike, I would...
Michael Armstrong: Yes. I mean I think with reference to women's, I mean, women generally compared to men have a lot more choice, and they like to change the mind more. And as I said, they're consuming a lot of sports shoes and she's finding other things to buy right now. That's just the nature of women's fashion, right? We'll have another up-cycle sometime soon, but we don't know when. We'll just take it when it comes. I think when it comes to apparel cycle, all I can say is we've got a very adaptable business model. We've got a wide range of brands that we can access. We have the ability to build what we need to build from a product point of view with pretty much every brand. We have complete flexibility in that respect, which again, none of our competitors have that. So we're very agile. And we have our own brand portfolio and licensed brand portfolio as well that chip in and help us deliver good things like speed to market and sort of a pricing architecture as well.
Regis Schultz: And second question around the learning from U.K.
Michael Armstrong: Yes, the stores -- I mean, I think specifically to the U.K., how consumers are shopping is clearly changing. And I think especially when you look at JD as a business, and we have seen some fairly significant price increases in our world over the last 3 or 4 years. So I think the expectations of the consumer now have changed slightly when they are buying a pair of shoes, which is GBP 150, they want a great experience. And we're also seeing, in particular, the traffic declines primarily are coming from high street locations, and we are seeing a big shift. We're not seeing the same declines, we're not necessarily seeing a big shift into the retail parks and the mega malls, and it's really the retail parks that have grown the most within our store estate over the last 2 or 3 years, which has grown the space significantly. The learning from Trafford Centre for us is that it's the same point, consumers just want a great experience. And what we have found is the impact of creating that fabulous store has been far greater than what we expected, outwards of like 30-mile catchment area. So there's a lot of learnings in that for the future in terms of how we look at the store estate generally.
William Woods: I suppose, does that change the U.S. and European strategy? Or do you think you're just experiencing slightly different trends in the market?
Michael Armstrong: It doesn't change, it influences and helps us maybe make some different decisions in the future.
Kate Calvert: Kate Calvert from Investec. A couple from me. First one, sorry to return to inflation and tariffs, but what sort of level of inflation are the brands putting through at the moment in the U.S.? And do you think it's enough to have offset the sort of the initial 10% increase? So we're kind of yet to see the August increases. And what sort of inflation is going through in Europe and the U.K. at the moment? And in terms of my second question is just on gross margin. Gross margin ex acquisitions was down 40 bps. I suppose the question is really on direction in terms of the trend of the gross margin because obviously, apparel has been much stronger, and you have gone through quite a few years of good full price sales. So do you think we're kind of back to a more normalized gross margin post-COVID?
Regis Schultz: I will do the first one and you do the second one. So I think on inflation, I think that, as we said before, roughly what happened with tariff is 1/3 has been swallowed by the manufacturer, 1/3 has been through the supply chain and the manufacturer, and 1/3 to the consumer. That's roughly what has happened. So the part which has been -- and in total, the tariff impact for our industry is on average a sort of 10% if you put everything to the consumer. So what has been passed to the consumer is around 2% to 3% if you take that on total. So that's type of magnitude. But that has been done on some products, not all, and with a very targeted view and has no impact in terms of volume. The question will be, the 70%, which has not been passed to the consumer, at one point of time will be in the system, when you go to new products and those. But that is what will impact at that moment. And I think we are more -- we are not so nervous about our industry. I'm more nervous about the global impact in terms of what happens to the U.S. consumer when they discover that everything goes up in terms of price, because that will happen over time. It's not happening now, but it's going to happen. That's a key question that we don't have the answer. But for our industry, I think the way it has been managed, I think it has been well managed, and I think that we've seen no impact for the time being.
Dominic Platt: So on the margin point, Kate, I think in the first half, the 40 basis points really reflects more tactical moves than something structural. And if you look at where it happened, it's sort of online in Europe, where we just need to be more -- chose to be more competitive in a more promotional market. And in the U.S., something we talked about at the year-end, I think, around Finish Line, which is as it winds down, is less differentiated. So price plays more of a role than would be the case in JD and some of our other fascias. I think you hinted that, but maybe didn't mean that with more apparel, is that lower margin. Actually, apparel and footwear, similar margins for us. And apparel is supported by having a higher proportion of own label. And as Mike said earlier on, they play a really crucial role in the overall offering we bring to customers, unlike humans and others. So that itself isn't the driver. Actually, the main driver is really the product cycle. In a cycle where people want the product, we're a full price retailer, we get the margins and we get the price. Where it's slightly softer, you just have to be -- you have to respond to that a little bit at the margins, and that's what we're seeing. So I don't think there's a structural shift. I think it is just reflecting where we are at this point in time on some of our products.
Kate Calvert: Can I just come back on the gross margin question just in terms of the full price sales. So I mean as you came out of COVID, because there's a lot of stock shortage, you had very high full price sales. I know you're being tactical at the moment, but do you think the underlying has got back to a more normalized level just generally in the industry and everything?
Michael Armstrong: Yes. I think -- I mean, the position that we're in just now, there is a shift slightly back towards apparel in the mix, which will be beneficial. We don't know how long that's going to -- that run is going to maintain itself, obviously. But I'll just reiterate what Dominic said, it really does just come down to the product cycle and the appetite for that product at full price. What we're seeing right now is the good stuff is really good. The stuff in the middle is slightly more challenging to sell at full price. We would like to assume that if the market can course correct and, along with our brand partners, we can drive that demand into new franchises, that will see a higher level of full price sell-through. There's no question. It does come down to the brands and the ability to create energy in the marketplace as much as anything.
Regis Schultz: And to be precise, on your question, which is around COVID, I think it's already done. So it's no more the COVID where we were at one point. So I think it has been going down slightly, but surely. So I think we are in a stable, yes.
Unknown Executive: Let's move to Warwick behind you.
Alexander Richard Okines: I'm Warwick Okines, BNP Paribas. One question for Dominic actually. Could you talk a bit more about the H2 profit expectations? First half PBT down about GBP 50 million, second half implied about plus GBP 10 million. What drives this swing? You talked about a few items like mark-to-market finance charges and Hibbett synergies. But maybe you could just flesh out that swing, please.
Dominic Platt: Good question, Warwick. So look, I mean, if you look at the first half and the profit bridge helps there and some of the things that you saw, the headwinds there. We'll still get a benefit from acquisitions, slightly less in the second half. Obviously, we've got Courir coming in for a few months. Interest was a drag in the first half. Actually, as we anniversary the acquisitions, that could become a slight positive in the second half. So half-on-half, quite a big swing. Mark-to-market, we expect some of that to unwind in the second half. So again, half-on-half, quite a big swing. And then new space with Trafford and others coming online, we've had a lot of sort of preopening costs related to that in the first half. We should see that stepping up a bit into the second half. And I think the phasing of our OpEx synergies is weighted towards the second half rather than the first half. Although as you saw on the slide, I think we've done a very good job in the first half in terms of neutralizing some of those headwinds. So taking all of those things together, actually, you see a step forward in those points, in some cases, mechanical, offsetting -- more than offsetting the ongoing pressure from like-for-like and margin through the second half.
Unknown Executive: Just before we go to Anne next to you, Warwick, a quick question on the lines from Richard Taylor at Barclays. A question for Dominic is that can you explain why the Genesis option has been revalued upwards by GBP 160 million?
Dominic Platt: Yes, I can. At the full year, we explained that as a result of the change in the payment dates, we've moved it out from '25, '26, starting in '25 to '30, '31, that would result in about a GBP 250 million increase that was in the annual report. The actual increase at the first half is GBP 163 million. So we've got the GBP 250 million uplift, but then there's a currency impact on the overall option, bringing that down to GBP 163 million for the first half. So broadly in line with what we explained.
Regis Schultz: I think you have been clear. So just for everyone because it's -- we have the option to buy back the 20% that is owned by the Mersho family. And the initial agreement was to do that in 4 years, from this year to 2028.
Dominic Platt: '29.
Regis Schultz: '29. We just moved back to 2 years between 2030 and '31. That's correct. So that's what Dominic was referring to. And we did that in order to manage our cash flow and to manage the best way to do that.
Dominic Platt: That's the context.
Anne Critchlow: It's Anne Critchlow from Berenberg. A question on tech infrastructure. So I appreciate you're in a catch-up mode at the moment on infrastructure. But just wondering what the potential might be to invest in, say, systems for pricing and promotions or allocation of product by store, various AI systems we're hearing about from other retailers. And also whether there's any time line for an RFID rollout from the U.K. to the rest of the world, and any implications in CapEx for that?
Regis Schultz: Yes. So I think on tech, we've done a lot. And I think that unfortunately, it is mostly OpEx than CapEx. So we have done -- the big one was our HR system in the U.K., which is done, which is Dayforce. We are looking at finance system and HR system in U.S., which is Workday. So that's as we speak. In terms of our merchandising tool, we are looking at the implementation of o9, which will include AI tools to do that. We are not so keen on pricing and all that stuff for the time being, because I think we -- we believe that with our buyer, we are doing the job and a fantastic job around that. And RFID is that the rollout is in U.K., but will go to the rest of the world just after. So it's just that we start everything in U.K. So we are pretty advanced. There will be the self-checkout, the same. Most of that is OpEx. So that's why our OpEx has been inflated by around GBP 20 million in the last 2 years around system and all that stuff. So it's not a big impact on CapEx, but a significant impact in terms of our OpEx.
Unknown Executive: And please can you pass to Alison.
Alison Lygo: Alison Lygo from Deutsche Numis. So just a couple of mine left. Can I ask on the working capital, please, just in terms of the stock build we saw in the first half. Could you talk a bit about where that's gone in terms of the stock? And I suppose what you're thinking about in terms of requirement for H2, particularly in terms of anything further required for investing or pivoting the range in the new acquisitions? And then the second one, just on City Gear and that change into DTLR. So interest as to how much you're kind of changing in that proposition. Are we talking here about -- like you're talking about some relatively large uplifts. Are you really changing the range? What are you doing in terms of store fit out? Yes, and I guess what the kind of potential CapEx behind that might look like?
Regis Schultz: Yes, I will do the City Gear and you do the stock one. So City Gear, so what we are doing with City Gear. So we have done a test of 6 stores where we have done a full conversion with new merchandising, new refurbishment, in fact, and that sort of costs around GBP 200,000 per store. And that is with the full rebranding and merchandising. What we have done for all the estate is to put that under the management of the DTLR team. So that implies the fact that we are slowly but surely changing the range, but we do that in a very -- when the product gets out of stock, we bring new products. So that is what we're doing. And there is a limit around that, and that's why we will have a program beginning of next year to refurbish a significant part of the estate and doing what we have done with the 6 tech stores. But we didn't want to rush too quickly. We just wanted to make sure that we do the system, the management and all that stuff in order to put the basis before doing a conversion. We learned a lot from the Finish Line program. And what we are applying there is what has been very successfully applied by JD team when we move from Finish Line to JD. We do the same recipe and with the same potential, because you have a double turnover per square foot. So there is no reason. And the level of investment is lower because DTLR concept is much less sophisticated than the JD one. So if you want to model it, it's USD 250,000 to invest in a store and with an uplift, which for the moment is around 50%, 60%.
Dominic Platt: On the stock point, yes, I mean, stock was up 14% in the first half. A large part of that was Courir, which we didn't have in the numbers last year. But we also were carrying more stock as we went into the first half. We've got quite a bit of distribution center changes coming. So we want to make sure we're well set up for those, and that does sometimes result in a sort of slightly elevated position. And just picking up on the City Gear piece, as we start to range those stores more with what DTLR and Shoe Palace use versus what they had, you end up with a slight sort of overlap. But that's manageable, and it's something we've done in the past. I think heading towards peak, there's no material shift in pivoting in terms of stock we're bringing in. We're actually coming to the biggest part of our year now. And as we go into that, we feel comfortable overall with the quality of the stock that we have. And the real position to look at our stock is at the year-end once we've been through peak.
Unknown Executive: Okay. We've got time for 2 more. So we'll go with Wendy, first of all.
M. Liu: Wendy Liu from JPMorgan. I have two, please. One is a follow-up on the footwear cycle. You mentioned about there's a couple of promising smaller franchises. I was wondering if you can expand on that. Are you talking about specific brands? Or are you talking about particular categories? Is it running? Is it more lifestyle? So this is question number one. Number two, I understand you don't comment on current trading, but I was wondering if you can share a few observations about what you're seeing in different markets in terms of customer behavior. You mentioned about early signs of unemployment in the U.K. and the U.S., if I hear that correctly. I was wondering if you can expand on that. And I guess, broadly, what are you seeing in the various markets from what you can see today?
Regis Schultz: Yes, I will start for the current -- yes, as you say, we don't update on current trading. I think what we said around customer, we see the level of uncertainty is high and which is never good for consumption. And we know that the key KPI we are looking at is unemployment, because our young customer is the first one to be impacted by that. And for the time being, nothing has happened, but we see the signs are more negative than positive. That's what we are at. So for the time being, it has not been -- nothing has happened on this side, but we're really looking at that, and that will be a negative for us if that happened. So that's what we flagged. I think that at the same moment, and we are in an industry where it's about fashion, it's about new products. So if the new product is good, consumers find the money to buy it. So that's what I will say. I think on the footwear, I think that...
Michael Armstrong: Yes. I think you mentioned a lot of the things that are happening in the market already. We're seeing the market shift back to where it was around 2019, 2020, running back to being the dominant category. The brands that play in that space are -- we know who they are. You've got a few of the smaller brands gaining about momentum just now, Saucony, Salomon, those guys. But really, it's On running, ASICS, New Balance, Adidas are doing some really good stuff in the performance categories. And we've seen some new product from Nike that's hit the ground running.
Unknown Executive: Wendy, could you pass to David right behind you?
David Hughes: David Hughes from Shore Capital. Just on the U.S. and obviously, the margin drop, you talked about a part of that being driven by the Finish Line conversions. Could you just touch on what part of the conversion is driving that margin drop, and how long you kind of expect that to carry on since you're still going through with quite a lot of conversions left to do? And also with the City Gear conversions, would we accept similar margin pressure in the U.S. as a result?
Regis Schultz: No, what we are seeing is not the conversion that is driving the margin. Finish Line is our biggest online business in the U.S. so far. It's no more. It was still 3 months ago, now it's JD, but it has been -- so on this Finish Line online business, that's where -- because the brand doesn't have any more resonance with the consumer less store. This is where we have been more aggressive promotionally to drive sales. That's what we were referring. So it's not about the conversion. It's more that the brand City Gear website doesn't exist anymore. So we will not have this issue. But our biggest online business for a long time has been Finish Line in the U.S. And this is where we see being more challenging for us, because we have no more store presence, or the store presence is reducing. So the appetite for the consumer for the Finish Line brand is reducing. So in order to drive volume, we need to be more aggressive on promotions. That's what we're referring to. So it's not about -- but the good news is that JD now website in the U.S. is bigger than Finish Line, which is a great achievement of the team.
Unknown Executive: Any final questions still from the from the floor. There's nothing on the lines either. So in that case, we will close the meeting there. So thanks very much for joining us, everyone. I appreciate your support. Thank you.
Regis Schultz: Thank you.
Dominic Platt: Thank you.